Christina Schartum: Good morning, and welcome to the presentation of Aker's First Quarter Results for 2025. My name is Christina Schartum, and I'm Head of Communications at Aker. We will begin today's presentation with Aker's President and CEO, Oyvind Eriksen, who will take you through the quarterly highlights and recent developments in the portfolio. Our Chief Financial Officer, Svein Oskar Stoknes, will then cover the quarterly financials in more detail. After the presentation, we will host a Q&A session. And with that, I hand it over to Oyvind Eriksen.
Oyvind Eriksen: Thank you, Christina, and good morning, everyone. Before we dive into the first quarter results, I want to address the -- this morning's announcement regarding Aker Horizons and Aker Carbon Capture. To summarize, the transaction includes the following steps: First, Aker Horizons. Aker Horizons will merge with Aker against consideration whereby Aker Horizons shareholders will receive shares in Aker ASA and cash for each Aker Horizons' share. Aker ASA will use treasury shares or issue new shares to settle this. Using existing cash, Aker Horizons NOK2.5 billion green bond will be redeemed before its maturity date in August, which will reduce future interest costs. Bondholders in the convertible loan will be offered a buyout option at 93% of the par value before maturity. Aker capital will retain NOK1.3 billion of the NOK1.6 billion loan. The second transaction is with Aker Carbon Capture, whereby Aker acquires Aker Carbon Capture's 20% ownership interest in the joint venture with SLB -- SLB Capturi for a cash consideration. A counter guarantee will be offered by Aker to cover the ACC parent company's guarantees and liabilities toward SLB. This will increase distributable reserves in ACC and its subsidiary, ensuring a significant liquidity event. The company will retain a small amount of cash to cover costs until liquidation. At Aker, we have explored numerous options to achieve a comprehensive refinancing and restructuring of Aker Horizons and its subsidiaries. Today's announcement reflects independent assessment by Aker, Aker Horizons and Aker Carbon Capture, supported by our respective advisers, and we believe this serves the best interests of all stakeholders. It's worth noting that the situation facing the 2 companies are markedly different. Aker Horizons has over time faced mounting operational, financial and market challenges, including delays, rising input costs and inconsistent policy support across key markets. A significant part of these challenges stems from Mainstream, whose performance has weighed heavily on the company. In sum, these issues ultimately led to sustained underperformance and material losses for the company. Aker Carbon Capture, on the other hand, is a bright spot. ACC's transaction with SLB unlocked NOK4.1 billion in value and a 20% stake in the joint venture, SLB Capturi. However, as ACC has communicated, no future earn-out is expected from the transaction. Given this and the fact that SLB holds an option to acquire ACC's minority share in SLB Capturi in 2 years, both ACC and Aker have concluded that the most value-accretive path forward is to return capital to shareholders. This decision removes the rationale for maintaining a public listing or continuing stand-alone operation. Aker will remain a 20% shareholder in SLB Capturi and continue the collaboration and strategic partnership with SLB, including through SLB OneSubsea and the ongoing partnership with Cognite. Since Aker Horizons raised NOK4.6 billion in January 2021 at NOK35 per share, its share price has declined by 96%. At the time of listing, Aker's ownership stake was valued at NOK16.3 billion. Today, our 67% interest in Aker Horizons is valued at approximately NOK600 million, equivalent to just NOK8 per Aker share. Our total cash investment in Aker Horizons has been NOK2.9 billion. Despite significant losses for Aker related to Aker Horizons, our perspective remains long-term. Aker will continue to develop the existing assets and take steps to protect and rebuild shareholder value through more focused capital deployment. In Mainstream, activities have been scaled down and the company is focusing on managing the opportunities and risks in a few key areas, including South Africa, Australia and Chile. In Northern Norway, Aker will continue to pursue long-term industrial opportunities centered around Narvik, where Aker Horizons holds a number of powered land sites, including a fully permitted construction-ready site at Kvandal with access to 230 megawatts of grid capacity. With abundant clean hydropower and a supportive industrial environment, the region is well suited for large-scale AI infrastructure requiring high energy efficiency and secure scalable power. Realizing projects of this magnitude demands financial strength, industrial capability and strategic foresight, qualities Aker is especially well positioned to bring to bear. Now, moving on to the first quarter and the current market landscape. In my nearly 17 years of presenting quarterly results for Aker, I have rarely experienced such fluctuations in market sentiment and the new cycle between quarter-end and publishing of results. Since the beginning of April, we have seen the start of a trade war, extreme market volatility, a weakening U.S. dollar, increasingly complex U.S.-China relations and the contours of a new world order. The result: unpredictability that reverberated through global markets. Our task is to understand complexities and opportunities relevant to our industrial portfolio and capabilities, combining a view of trends and markets with a broader role in creating long-term value for shareholders and societies. The first quarter contributed positively despite volatilities and uncertainties. Aker reported a net asset value of NOK61.9 billion compared to NOK58.2 billion at the close of 2024. The share price closed at NOK622, up 13% during the quarter compared to a 6% increase in the Oslo Stock Exchange Benchmark Index and a flat Brent oil price. Despite lower oil and gas prices following President Trump's Celebration Day on April 2nd, Aker BP has been near flat year-to-date and Aker's share price has increased, still outperforming a turbulent Oslo Stock Exchange and global indices. Our strategic priorities and portfolio design criteria remain focused on net asset value development, attractive and predictable dividends to Aker shareholders as well as increased upstream cash flow from our portfolio companies, fewer and larger investments and companies in growth segments through cycles. A few examples from the quarter include Philly Shipyard, which following the sale to Hanwha announced that most of the transaction proceeds will be distributed to shareholders. Consequently, the natural next step for Philly is a liquidation of the company. Second, Solstad Maritime, which next week plans to list the company on the Oslo Stock Exchange. And as a part of this, American Shipping Company will distribute all its Solstad Maritime shares and excess cash to shareholders in connection with the IPO. There will be no operational business or activities left in American Shipping Company, and the intention is to liquidate the company following the IPO. Moreover, Aker's long-term steadfast investment in low-cost, low-emission oil and gas projects, even as other anticipated a decline, demonstrates our commitment to strategic foresight and resilience in an ever-evolving world. With a clear pathway to sustain production above 500,000 barrels per day beyond 2030, ambitions for further growth and top quality organization and assets, Aker BP continues to be an important operator on the Norwegian Continental Shelf, and a significant source of upstream dividends to Aker. This is especially driven by the Johan Sverdrup field, which underscores the importance of world-class quality assets with its continued outperformance of expectations. The company also has an unwavering focus on quality, including the use of technology and AI and practices that drive down costs and emissions to record low levels. Further, the company uses a range of hedging instruments to manage its economic exposure and mitigate risks associated with fluctuations in commodity prices, interest rates and foreign exchange rates. No other listed share correlates tighter with the oil price than the Aker BP share price, making planning and foresight all the more important in today's market environment. And lastly, in Aker Solutions, the main task today is to deliver on the record large oil and gas project portfolio. However, I'm also pleased to see positive development in other segments. OneSubsea, in which Aker Solutions holds a 20% ownership, is already seeing strong financial results and has an attractive dividend policy with ambitions to distribute more than USD 250 million during 2025. With market-based trading multiples, the ownership stake in OneSubsea constitutes a significant portion of Aker Solutions market cap at present. For us and other shareholders, this serves as a valuable safeguard against the varying activities and results in other segments. Going forward, Aker's ownership focus for Aker Solutions is on a strong balance sheet to maintain predictable and robust project delivery, predictable dividends and a gradual positioning for growth in new segments. The current geopolitical and market climate underscores the timeliness of our focus on fewer, larger cash-generative holdings, which helps us maintain financial strength and flexibility. Predictability of upstream cash flow to Aker is important, and shareholders can rest assured that Aker will uphold the dividend policy of 4% to 6% of net asset value per year. The Board has approved a dividend of NOK26.5 per share for the first half of 2025. And in line with previous years, a second tranche will be considered by the Board in the second half of the year. If the additional dividend equals the proposed ordinary dividend, the total dividend paid in 2025 will be NOK53 per share. With few exceptions, Aker's portfolio has limited direct exposure to the current proposed tariffs. However, in the absence of economic stability, investors and policymakers alike are eyeing a potential shift in the global financial order. While our portfolio companies are less exposed to the direct impact of the trade war, there are potentially enormous indirect impacts, including on currencies, inflation and deflation as well as effects on global supply chains. Investment decisions are being reconsidered and activity levels may be reduced due to the prevailing uncertainty. It's difficult to understand the direct consequences of the current policy changes, but even more challenging to grasp the indirect ones. That's why ensuring balanced scenario-based planning, prudent risk assessment and strong financial position is paramount to ensure that both Aker as well as the Boards and leadership of our portfolio companies are equipped to strategically navigate uncertainties ahead. A healthy balance sheet, including over 70% of our gross asset value in listed assets and cash, a low loan-to-value ratio, investment-grade rating as well as a portfolio of companies which operate as independent entities, are all measures in line with Aker's strategy to remain both resilient and ready to seize emerging opportunities. Now, taking a closer look at our portfolio composition as of March 31st this year. Our portfolio of listed companies, as seen on the left-hand side, ended the year with a gross asset value of NOK641 per share, while our unlisted investments had a gross asset value of NOK191 per share. Subtracting for debt and comparing this to our current share price, we believe there is a good potential for continued shareholder value creation moving forward. Our unlisted portfolio has several potential catalysts for crystallizing value moving forward. Like our investments in industrial companies are likely to turn to AI as a partial solution to mitigate the effects and accelerate their digitalization initiatives to increase productivity, efficiency and cost saving. Aker's industrial software companies, Cognite and Aize can capitalize on this situation, much like during COVID-19 when supply chain disruptions elevated supply chain management to a Board level priority. Cognite Data Fusion, or CDF, continues to be a key enabler for industry, driving digital transformation and operational efficiency. By integrating data from various sources, CDF provides actionable insights that help industrial companies optimize their operations, reduce costs, improve productivity and leverage AI to stay competitive and navigate the complexities of the current market environment. Cognite continues to perform well and expand its commercial global presence. It's ramping up its organization in the U.S. around the new headquarter in Phoenix, Arizona and recently inaugurated its India Center of Excellence, further solidifying its commitment to leveraging AI for industrial growth. Cognite's annual recurring revenue, ARR for short, had a strong start to the year, surpassing the USD 100 million milestone in the quarter, and is now showing a promising outlook for the full year. Being invested in several sectors of strategic and geopolitical importance, Aker approaches the new reality with a balanced perspective. Our strategic priorities and portfolio design criteria remain focused on net asset value development, attractive and predictable dividends to Aker shareholders as well as increased upstream cash flow from our portfolio companies. We build on our industrial and financial expertise, practice, active ownership and most importantly, create added value through transactions. Aker BP and OneSubsea illustrate this approach, while our software companies demonstrate how we innovate based on our existing capabilities. All of this is underpinned by consistent strategy and decisive ownership and leadership through shifting market cycles. Active ownership also means making adjustments when needed. Over the past year, we have sharpened our focus, concentrating the portfolio around few larger companies where we see the greatest potential for long-term value creation. We have prioritized investments aligned with long-term megatrends, like the energy transition and digitalization, while also setting clear expectations for improved capital efficiency and stronger cash flow over time. These are not passive bets on the future, but areas where we bring industrial insights and a hands-on approach to unlock value. In some cases, protecting long-term value has required more decisive action, as exemplified by the current situation in Aker Horizons. The transactions announced today are steps to clean up a financially complex situation and position companies for more focused development under private ownership. Growth is not linear. And when setbacks occur, they should be viewed in the context of the overall portfolio and our long-term strategy and performance. Looking across the portfolio. Important investments like Aker BP, Aker Solutions and Cognite continue to develop positively and in some, more than compensates for Aker Horizons and a few other underperforming businesses. That's why we today are reporting yet another quarter with good progress for Aker. In short, Aker remains committed to building value through active ownership, strategic clarity and discipline to act when needed, always with a long-term perspective. That's it. I now hand it over to Svein Oskar Stoknes, who will take you through the first quarter financials in more details.
Svein Oskar Stoknes: Thank you, Oyvind, and good morning. I will start out spending a few minutes on Aker's financial investments before I go through the first quarter results in some more detail. The financial investments portfolio accounted for 18% of Aker's total assets or NOK12.7 billion, up NOK1 billion from the previous quarter. As before, the main components on the financial investments are cash, listed financial investments, other equity investments, real estate, interest-bearing receivables and noninterest-bearing assets, all of which I will now go through in some more detail. Then, as usual, starting with cash. Our cash holdings represented 1% of Aker's gross asset value or NOK1 billion, up NOK381 million from the previous quarter. The cash inflows were dividends received of NOK1.6 billion, of which NOK936 million from Aker BP, NOK496 million from Philly Shipyard, NOK98 million from Solstad Maritime and NOK97 million from AMSC. The main cash outflows in the quarter were primarily debt repayment of NOK500 million and interest-bearing loans to portfolio companies of NOK387 million, of which NOK223 million to Cognite and NOK100 million to Aker Property Group. And cash outflow for operating expenses and net interest were NOK214 million in the quarter. Listed investments included in our financial portfolio represented about 3% of Aker's total assets at the end of the quarter or NOK2.3 billion. This was up NOK66 million from the previous quarter, mainly driven by the inclusion under listed financial investments of our ownership stake in SalMar, following the sale of Aker's 15% ownership stake in SalMar Aker Ocean. The settlement consisted of 1 million shares in SalMar in addition to a cash consideration of NOK76 million. This was partly offset by a value decrease of our investment in Philly Shipyard of NOK460 million. This came as a consequence of the extraordinary dividend paid by the company, following the successful completion of the transaction with Hanwha. Next, other financial investments that combined represented 14% of Aker's gross asset value or NOK9.4 billion in total. Aker's real estate holding, Aker Property Group, stood at a book value of NOK1.9 billion at the end of the quarter, up from NOK1.8 billion in the previous quarter. The increase was driven by a new interest-bearing loan issued of NOK100 million. Interest-bearing receivables totaled NOK4.5 billion, up from NOK4.3 billion in the previous quarter, primarily due to a loan issued to Cognite of $20 million. The main part of interest-bearing receivables consists of a NOK2 billion loan and a NOK1.3 billion convertible loan to Aker Horizons. Noninterest-bearing assets ended at NOK0.8 billion, slightly up from NOK0.7 billion in the previous quarter, driven by prepaid expenses and value increases of our total return swaps of NOK47 million. And other equity investments ended the quarter at NOK1.7 billion, slightly up from NOK1.6 billion in the previous quarter. Then let's move to the first quarter financial highlights for Aker ASA and holding companies. And I will start with the balance sheet. As a reminder, in our accounts, we use the lowest of historic cost and market values. At quarter end, the book value of our investments amounted to NOK27.5 billion, a decrease of NOK623 million during the quarter. This decrease is primarily explained by negative value adjustments in Aker Horizons of NOK463 million and Solstad Offshore of NOK101 million. The book value of our equity was NOK25.7 billion at quarter end, up NOK743 million, explained by profit before tax in the quarter. The fair value adjusted assets or gross asset value totaled NOK68.7 billion. Subtracting for debt and the ordinary dividend allocation, the net asset value was NOK60 billion at the end of the quarter. This equaled NOK807 per share, and the value-adjusted equity ratio was 87% after allocation for dividend. Aker had liabilities of NOK8.7 billion at the end of the quarter, of which bond debt and bank loans totaled NOK6.5 billion. The liabilities at year-end also included the NOK2 billion dividend allocation for 2024, representing NOK26.5 per share, and this dividend will be distributed now in May. Aker's financial position remains robust with a total liquidity buffer of NOK9.3 billion, including undrawn credit facilities and liquid funds. The net interest-bearing debt was NOK0.8 billion at the end of the quarter, down from NOK2 billion at the previous quarter. Our loan-to-value was 8% and about 70% of our gross asset value is in listed assets and cash. In terms of our debt maturity profile, the weighted average debt maturity was 3.7 years at the end of the quarter. In the quarter, bank loans totaling NOK500 million were repaid and the maturity of the remaining bank facilities was extended by 1 year to 2028. Taking available credit lines and the extension options on the bank loans into consideration, the implicit maturity of the total loan portfolio would be approximately 4.9 years. Then to the income statement. The operating expenses in the first quarter were NOK100 million. During the quarter, Aker booked a total dividend income from Aker BP, Philly Shipyard, Solstad Maritime and AMSC of NOK1.7 billion. The net value change in the quarter was negative NOK628 million, mainly explained by a value decrease in Aker Horizons of NOK463 million and Solstad Offshore of NOK101 million. Our net other financial items were negative NOK189 million. This was mainly explained by a net foreign exchange loss of NOK167 million in the quarter. And the profit before tax was then NOK741 million in the quarter. Thank you. That was the end of today's presentation, and we can then move on to Q&A.
A - Christina Schartum: Thank you, Svein Oskar. We will now go to the first questions. First question is from [indiscernible]. Congratulations on the swift spring cleaning of the portfolio. I have 3 questions. Given Aker's strong leadership, track record and talented team, would you agree that the company has underperformed for some time? Can we expect Aker to capitalize on the current macroeconomic environment? And do you have the right strategy in place to once again become the leading star and benchmark for the industry?
Oyvind Eriksen: Well, first, about performance. Our task is to develop Aker's portfolio investments longer term and to deliver a long-term return to our shareholders, both measured by net asset value and dividend. So the numbers are speaking for themselves. We, today, report a first quarter 2025 during which we have outperformed the market. And our longer term to shareholders -- longer-term return to shareholders have also been very, very strong, both measured by NAV and also by increasing dividend to shareholders. So I don't agree that we have underperformed. But a company like Aker investing in cyclical businesses like energy will have changing return quarter-by-quarter. Next question about taking advantage of this very different capital markets. The answer is obviously yes. It's Aker's DNA to turn market environments like this into investment opportunities for Aker. And at the same time, the uncertainties are significant and real. So we will approach investment opportunities with discipline and apply consistently our investment criteria, both measured by value potential as well as cash flow. And the last question was about Aker as a benchmark for different industries. And the point of departure is our current portfolio investments, with Aker BP in oil and gas as the most efficient producer offshore globally, measured both by emissions and cost. With Cognite as one of the fastest-growing industrial software companies in the world, with an opportunity to build a champion in the data center AI factory space in the northern part of Norway, and the other assets in the portfolio, I think, combined with our track record for creating additional shareholder value through M&A. The short answer is definitely yes. I think we are a benchmark in our existing industries, and we're committed to continue to build our existing portfolio and consider investments in new segments.
Christina Schartum: Great. Thank you. As there are no other questions, that concludes today's presentation. Thank you for tuning in.